Operator: Good day and welcome to today’s Solvay 2024 Full Year Results Conference Call. Throughout today’s recorded presentation, all participants will be in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Now I would like the hand the call over to, Geoffroy d'Oultremont, Head of Investor Relations. Please go ahead, sir.
Geoffroy d'Oultremont: Good afternoon, everyone, and welcome to Solvay’s 2024 earnings call. My name is Geoffroy d'Oultremont, Head of Investor Relations, and I'm joined here today on the call by our CEO, Philippe Kehren; and our CFO, Alexandre Blum. The call is being recorded and will be accessible for replay on the Investor Relations section of our website later today. I would like to remind you that the presentation includes forward-looking statements that are subject to risks and uncertainties. The slides presented in today's call are also available on our website. In today’s call, we will discuss our full year earnings and Philippe will also give you his perspective on the first year of the new survey and remind you who we are. Philippe?
Philippe Kehren: Thank you, Geoffroy, and hello everyone. As usual, we will start with a word on safety. And unfortunately, after the loss of one of our colleagues in August, we have to report two new losses in the fourth quarter of 2024, one in Bulgaria and another one in Spain. These are very tragic and sad news, and I would like to express my deepest sympathies and thoughts to the families and colleagues of the three contractors who lost their lives. Safety is above everything we do at Solvay. All of us should return home safely after our day’s work. We’ve made important steps in line with our strive for zero accidents. We’ve launched what we call SAFE, Safety As First Engagement. And as part of SAFE, we address safety in our meetings and we extended the Solvay Life Saving Rules. We introduced a new process for our permit to work, but this year has shown that this is not enough. Therefore, we decided to take immediate action, and we launched a safety culture transformation program, which aims at elevating safety performance across all our sites and to achieve also a transformative shift in the safety culture across the group. To do so, we've created a dedicated group safety task force to completely lead on safety with the assignment to accelerate on all aspects that are needed. Safety is a fundamental commitment of Solvay. We will never compromise on that, and you can count on me. Now let me take a few minutes to step back and look at the achievements of last year. 2024 marked a pivotal chapter in Solvay's history. The spinoff has unlocked significant value and empowered us to create a more focused and a more agile organization. First, we successfully navigated the organizational shift, ensuring our 9,000 employees were fully engaged in this new era. Secondly, our streamlined structure enabled us to accelerate our transformation, exceeding our projected cost savings for the year. Thirdly, we continue to drive the energy transition of our plants, one after the other, and we remain on track to meet our ambitious sustainability goals. We connected with a lot of customers, and we will continue to build strong partnerships to support them in their innovations. Think about the microchip producers for electronic grade H2O2, our tire customers with circular silica. Finally, despite a volatile economic landscape, we solidified our financial position through a successful €1.5 billion bond issuance, and we delivered a solid set of results that surpassed our initial projections. Slide seven, you see an overview of this solid financial performance. As usual, Alex will provide more details in a few minutes, but let me share the following message with you. Everybody will agree that the environment has not been very supportive in 2024. However, our unique profile and strong focus on what we can control allowed us to deliver solid earnings above expectations. More specifically, I would like to highlight the EBITDA of €1.52 billion supported by cost savings well above our own forecast, thanks to the acceleration of some initiatives. Our free cash flow of €361 million with a CapEx at €3.55 shows that the resilience of our businesses allows us to generate enough cash to support all our commitments: energy transition, payment of our dividend to shareholders and investment in future growth. This is a great achievement. So month after month, with deep industrial roots and a well-defined strategy, Solvay consistently demonstrates the resilience of its financial results. I'm very happy with the energy I see in the company, and that gives me a lot of confidence for the future as well. And our future is essential. One year after the split, it is probably a good time to remind you who we are and repeat a few key elements of our strategy. We are essential chemistry making progress possible for generations. At Solvay, we do not invent new molecules. The ones we have in our portfolio existed already decades ago and will still be needed for a very long time. All the products we sell are essential to our daily lives. Take soda ash. One of the major uses of soda ash is to enable the production of glass. There is not a single day when we are not surrounded by glass. With no soda ash, window glass would be a luxury. Silica is essential to the tire industry. Without our highly dispersible silica, we would still have tires, but those tires wouldn't have the same performance in terms of fuel efficiency, CO2 emissions and safety. Smartphone. Without semiconductor chips, there's no smartphone. And without products like our hydrogen peroxide or our rare earth oxide, there's no chips. These are just a few examples. Most of our businesses share those same characteristics. They are critical to the products we use every day. Moving to Slide 9. Our ambition is clear. We want to be the best in what we do. We want to be a leader in essential chemistry. And our purpose that we've just seen, we are essential chemistry making progress possible for generation, is the beacon that is guiding our ambition. The core values drivers supporting the strategy will be what will make the difference between a winning company and the others: market leadership, cost leadership and sustainability. Our key enablers of that strategy are the way we need to operate and what we should expect from our teams, our operating model and our people and culture. The strategic priorities we need to focus on to make a difference and deliver the financial results we aim for, sustainable cash flows and attractive returns. Those priorities are the few strategic levers that we have selected. We will come back to them later on. Slide 10, please. Our products are not commodities, but they are not specialties neither. They have very unique characteristics that make them different. We can define them around the 6 following dimensions. Let me explain a few of them. Looking solely at the product, essential chemicals would be, in most cases, close to a commodity. There may be a few references and performance matters, but very often, it would be sold on spec and the product will basically be the same for all producers. But if you look at the technology, essential chemicals will be closer to specialty. Our processes are not available off the shelf. A strong expertise and know how are required to be able to design and operate our plants. That's how we can license some of our technologies, like our mega plant technology for hydrogen peroxide. They are not totally unique, but only a few companies own and master the technology. Similarly, the way we interact with customers is different from commodity players. In all of our businesses, we need to know our customers, understand their needs, how they use our products and build relationships. While we don't sell value, we don't just apply an index that will vary every month or every quarter. And we tend to have stable long-term supply agreements and strong innovation programs with our customers. Being essential is also being focused. Our portfolio of products is simple: five mono technologies: soda ash, bicarb, peroxide, silica, fluorine and rare earths and one very strong regional business, Coatis, more focused on the Latin American market. We can be much more focused and much more reactive than before the split. And we serve a high number of customers in a wide range of end markets, take automotive, construction, health care or electronics, each account for less than 20% of our overall sales. This brings resilience, and resilience is important for our clients and for all our stakeholders. Now being close to our customers is another key element when you want to build long-term partnerships. This is why at Solvay, more than 80% of our sales are actually regional or local to local. And this brings a lot of advantages such as competitiveness, when you know that essential products can be expensive to transport. It’s also good for security of supply and it is the best protection against tariffs. In the following slides, I will deep dive into our strategic levers, as they as they are driving our choices for resource allocation and also for setting priorities. So the first one is operational excellence. This means continuous progress and optimization of operations in systems. Our initial plan was to achieve more than €300 million of savings by 2028. We are now increasing that target to €350 million and we accelerate the delivery as we expect €200 million already by the end of this year. That will contribute to ensure our businesses remain competitive and that will improve their position as benchmarks in their respective industries. For each of our manufacturing sites, we've built detailed plans to optimize our operations. For each of our corporate functions, we're building a target operating model. And as you can imagine, digitalization is a key component of those plans. For example, we use more and more devices to monitor the equipment and improve the reliability of our assets and, as a result, our maintenance costs. We also implement digitalization and AI capacities in all our support functions, especially in our global business services centers. But digitalization is not everything. Here are a few other examples. We are saving on our transportation costs by changing the transport mode, the lot size of number of rotations. We improved yields on our energy and raw materials consumptions. We continue to take initiatives in procurement as well. Now moving to our next strategic lever, sustainability and the energy transition. In 2024, we have taken the time to redefine the sustainability agenda of the company, while aligning it with a new Solvay profile. So today, I'm very happy to launch Four Generations. Four Generations is our new sustainability roadmap. We have refreshed our ambition, added new commitments, redefined our processes and our covenants. But the ultimate goals remain the same: reduce our impact, create trust and value. This road map is structured around two pillars: planet progress, focused on climate and nature and better life for people and communities. It will be deployed in all our sites around the world, and it will be deployed through the STAAR Factory program, which aims at designing the factories of the future. It is also integrated into the incentives in all layers of the management with safety, CO2 emissions and diversity as the main KPIs. Next slide, please. This slide summarizes the KPIs we track as part of our Four Generations roadmap. We confirm our main climate target: carbon neutrality by 2050, with an interim target of reducing greenhouse gas emissions by 30% by 2030. We are well advanced, minus 17% so far. In 2024, we maintained our greenhouse gas emissions reduction scope one and two despite increased levels of production in some of our businesses. This was achieved through the strategic execution of our energy transition project and our successful exit from coal at two of our plants in 2024 in Germany and in Wyoming, USA. We have added an additional voluntary commitment regarding biodiversity. We are already recognized for our good practices on biodiversity in several of our sites like Paulínia in Brazil, Rosignano in Italy and Torrelavega in Spain. We are now pledging to allocate 30% of our land around our sites to support nature conservation and restoration efforts by 2030. We will partner with the IUCN, that's the International Union for the Conservation of Nature, to achieve this target. Several projects are already underway, like the reforestation project in Brazil, the Tiny Forest in The Netherlands or the Mangrove project that we have in Thailand. Regarding safety, the overall trend is positive, yet the three tragic accidents we experienced in 2024, which I addressed earlier, serve really as a critical reminder. Vigilance is non-negotiable. We must and we will do better. We've made also tangible progress in advancing diversity within Solvay, putting us on course to reach 30% of gender parity by 2030. And finally, a word on the United Nations' Leading Wage initiative. I'm happy to confirm that we're on track to have 100% of our employees at the right level in 2025. This is one year earlier in planned. Now moving to the energy transition road map and the need to accelerate execution. This is really a strategic imperative. It's driven by our commitment to the planet, the clear expectations of our customers, but also by the fundamental need to remain competitive, particularly in Europe, where the rising cost of energy and of carbon emissions creates a distinct economic advantage for sustainable businesses. This is critical for our long-term success. We act on decarbonization, and our track record is there. Both Alex and I have successfully deployed some of the largest global decarbonization projects within the group in the past. And thanks to this, Solvay in general has already reduced its CO2 emissions by half in the past 20 years. Our roadmap outlines clear milestones: minus 30% emissions cut by 2030, a further 1/3rd reduction by 2040 and net zero by 2030. Implementation will involve coal phase out, the rollout of e.Solvay and other technological breakthrough projects. We will invest as Solvay a CapEx that is affordable. It will be €30 million to €35 million annually until 2030, increasing to €50 million per year by 2040, which will be complemented by strategic third-party financing for some of the key large projects. Third, strategically lever, process innovation. This is how Solvay started, by revolutionizing the soda ash process in the 19th century. So we understand very well the importance of staying ahead of the curve and continuously improving our processes. It can take many forms, from bringing improvements to existing processes, for example, new generations of catalyst for our peroxides plant to finding technologies to offer circular materials, like our silica with the right ash process in Italy or digital tools to transform the way we operate at the level of the shop floor. With our flagship e.Solvay process, we reinvent a new way to manufacture soda ash, and we are making rapid progress. We are reaching technological feasibility, and we can now work on the economical equation. Finally, production capacity. Production capacity both to sustain our market share in our traditional market and to capture growth in targeted high potential opportunities that our products can serve. In our traditional markets, growth is close to GDP. We invest when our customers need it. This can be through expanding our production capacity, building new units or increasing production through partnerships. But it always entails sites where we have a competitive advantage and where we have a clear road map in terms of sustainability. Beyond these core end markets, each global business unit has growth applications where we see high potential opportunities and where we want to invest. Here are a few examples. In our soda ash and derivatives business, we have now bicar applications such as Solvay Marine, an innovative technology used as a dry exhaust gas treatment system for sulfur oxide and particle removal for the shipping industry. In silica, circular highly dispersible, silica is expected by tire manufacturers to increase the share of circularity in their total savings. In Special Chem, we will inaugurate the first production of rare earth oxide for permanent magnet in a few weeks from now. So that concludes my 2024 update for today. Our strategy, I hope, is clear, solid. The split allows us to be much more focused on what is important for Solvay and its businesses. And I would like now to hand over to Alex for the review of the financials.
Alexandre Blum: Thank you, Philippe, and good afternoon, everyone. So moving to the financials. Let me start by reminding you of the two elements that impacted the presentation of our financials in 2024. The partial demerger of Syensqo in December 2023 and some ATM and scope changes that started in 2024. I invite you to go back to the various communication that are available on our website for more detail. And as usual, I will comment on the organic evolution, meaning at constant scope and currency unless otherwise stated. So let's start with sales on Slide 21. Underlying net sales in 2024 reached €4.7 billion, lower by minus 4% versus 2023. This rather small decline is explained by lower prices as expected mainly from our soda ash business. Offsetting partially this impact, our volumes were up in the majority of our business. In Q4, volumes continued to grow year-on-year for the fourth consecutive quarter, and we can especially highlight our bicarbonate and peroxide businesses as contributor to the recovery as well as the fact that we have seen generally less seasonality in the last months of the year compared to what we observed in 2023. Underlying EBITDA amounted to €1.52 billion in 2024, down 8% year-on-year. This is slightly higher than our latest guidance that you probably remember to be at the higher end of minus 10% to minus 50% organic growth range, thanks to the resilience of our volumes that I've just highlighted, but also thanks to the strong cost discipline, which translated into the 4% lower annual fixed cost, quite an achievement in the year of sustained inflation and higher distribution rates of our assets. As just said, our fixed cost decreased as we delivered significant structural savings in our manufacturing plants and compliance solutions. But we also delivered significant variable cost savings by reducing our energy and raw material concentrations. In total, cost savings were €110 million largely exceeding our target of 18 years. Moving to the segment review and here I will mostly focus on Q4 development. Let's start by basic chemicals on Slide 20. This segment continued to demonstrate solid performance in Q4, especially on the volume side and is the main reason for the quality beat of Solvay in terms of EBITDA for this quarter. Soda ash volumes were higher, especially in the seaborne market compared to the low base in Q4 2023. While bicarbonate demand continued to be strong, especially for the flue gas treatment application. In peroxides, volume continued to be up year-on-year in all segments that we serve, showcasing the strength of this business. In Q4, we also booked the initial profit from the new license for our peroxide business. While it is positive when looking at the quarter comparison, you have to keep in mind it is neutral when you look at the full year as we signed such license in Q3 2023 last year. In terms of EBITDA, it was down 1% in Q4, with the year-on-year volume affecting the negative soda ash net sales. EBITDA margin reached 29% in this quarter. Performance Chemicals on Slide 25. Our Performance Chemicals segment is generally more subject to Q4 seasonality due to its exposure to such element as automotive or Brazil end markets. This explains the sequential decrease of sales and EBITDA compared to the previous quarters. Year-on-year, Q4 volume was slightly lower in silica tire application and Special Chem autocatalysis, but prices have been resilient across businesses. Hence, compared to Q4 2023, the overall segment EBITDA was up 6%, thanks to the positive net prices. The EBITDA margin increased to 15%. Free cash flow to shareholders from continuing operations amounted to €361 million in 2024, thanks to the solid EBITDA performance and the good control of our working capital, especially at the end of the year. This represents a 34% free cash flow conversion ratio. As expected, CapEx accelerated in Q4 and reached €355 million for the year. Provision cash out €193 million were higher than last year, mainly due to higher restructuring and settlement of old litigation. This contributed to the reduction of our long-term provision in the balance sheet. On the other side, financing cash outs were lower due to the timing of the coupons payment from the newly issued bonds. Financing costs are projected to rise to approximately €80 million in 2025, reflecting the full year coupon payment on the bonds issued in 2020. Additionally, note that provision cash out is expected to be to temporarily increase by €50 million, mainly due to the Dombasle Energy transition project. Capital structure. Underlying net financial debt was €1.5 billion at the end of the year, quite stable compared to the end of 2023, and the underlying leverage ratio was 1.5x EBITDA. Based on the free cash flow generation and in line with the dividend policy of the company, the Board of Directors has decided to propose a gross dividend of €2.43 per share, subject to shareholders approval during the AGM of May 2025. If approved and taking into account the interim gross dividend of €0.97 per share paid in January, the final gross dividend of €1.46 per share would be paid till May 21, 2025. One year after the split, we have the balance sheet we wanted. We are investment grade, and we successfully refinanced our short-term debt into long-term bonds, while our dividend cash out is well covered by our free cash flow delivery. Now let's step back and see how 2024 compares with the last 7 years. And I draw your attention to the fact that the figures before 2023 are not listed for the phase out of two business years in 2023, which accounted for approximately €100 million. This chart simply confirms once again that our unique profile allows us to be resilient even in time of crisis of challenging conditions. We are essential, and we have the flexibility to adapt our investment to the market condition. This ability, combined with the quality of our individual businesses and the positive effect, ensure resilient and steady cash generation. Let me conclude my presentation by reminding you of our capital allocation policy. We generate enough cash and we are deploying it strategically. First, €250 million to €300 million annually for essential CapEx, which will be safety, maintenance, regulatory compliance, leases and, of course, our energy transition projects. Solvay, a stable to growing dividend, a commitment we never missed in the past 40 years with approximately €260 million allocated in 2024. Finally, and depending on affordability and merit, we will prioritize growth project with strong returns, while keeping the optionality to return excess cash to shareholders. But whatever the level of cash we generate, trust us to be extremely selective, we will never invest for the sake of investing. With that, Philippe, back to you for the update.
Philippe Kehren: Thank you, Alex. And indeed, let's move to the outlook now. So how does that translate into expectations for 2025? And what about our midterm targets? So for 2025, the current challenging macroeconomic context does not suggest any significant volume recovery in our main end markets. Net pricing is anticipated to be resilient compared to 2024, and that includes the impact of the soda ash annual contracts, which impact between 10% and 20% of Solvay net sales. We will continue to focus on the transformation of the company. We target an additional €90 million in cost savings, contributing to a cumulative €200 million since 2023. We expect this to mitigate both inflation and the temporary corporate stranded costs expected from the exit of the transition service agreement with Syensqo. These actions will support our guidance of an underlying EBITDA between €1 billion and €1.1 billion in 2025. Free cash flow to Solvay shareholders from continuing operations is projected at approximately €300 million, and that's with CapEx between €300 million and €350 million. Notably, provisions are expected to increase by €50 million, as just explained by Alex. Now an update on our midterm targets. So following a successful first year as an independent company, we are happy to confirm our 2028 trajectory as presented at our Capital Market Day in November 2023. At the core, we confirm our commitment to mid-single digit organic underlying EBITDA growth over the 2024-2028 period, driven by both top line growth and cost savings. We recognize the questions around our 2024 performance, which is tracking below 2023 levels, and the implied acceleration required to achieve our 2028 objectives. However, we enter 2024 fully aware of the challenging market conditions, and this was communicated during our Capital Market Day. Furthermore, our confidence is rooted in the long-term prospect of our markets. They will recover at some point. And for some of them, like soda ash, where limited new capacity is projected in Europe and in the U.S. before 02/1930. That implies a supply demand that is tightening. Importantly, we are increasing our cost saving target with an additional €50 million, a lever that is firmly within our control. We also confirm our guidance for underlying EBITDA margin and return on capital employed, underscoring our commitment to sustainable profitability and efficient capital utilization. Regarding free cash flow, we are moving away from a specific free cash flow conversion ratio. We are convinced that our capital allocation policy is clear and reflects the way we intend to spend the cash we generate. First, essential CapEx then a consistent dividend policy and finally, depending on merit and affordability, strategic growth investments and further shareholder returns as appropriate. This was also highlighted by Alex earlier on. So let me clarify a few things as we received some questions around this already this morning, and I would like to thank all of you that came back to us. First, our focus on cash generation has not changed. But it is important that we keep the ability to decide what makes the most financial sense. And this is not consistent with a free cash flow conversion target. Second, we're not saying we will necessarily accelerate investments. As an essential company, we typically invest when supply demand is tight. To achieve our confirmed 2028 EBITDA target, by the way, no significant new investments are needed. Bicarbonate and purified grades of hydrogen peroxide are probably the main businesses where we need to add some capacity, and those are not capital intensive. Third, we confirm our ROCE targets, which should also bring some comfort to investors on the returns and the best possible use will make up cash. Now before we take your questions, I would like to leave you with these few words. I'm convinced about what we do at Solvay and also by the way we do it. We have a clear strategy that gives plenty of confidence for the future of Solvay, and the new culture is only one of the many enablers we have to achieve our goals. We started our transformation to adapt Solvay to its new reality and leverage new technologies that allow us to be more efficient. We also started to transform our safety culture after the events of 2024 that remind us how critical it is for a company such as Solvay. And finally, we will redefine our sustainability road map for generations, keeping our ambitions at high levels and clarifying the way we will achieve them. At Solvay, the energy transition is a journey that started decades ago, and we keep accelerating it. The biomass project at Torrelavega in partnership with ENSO, which we announced yesterday, is a great example where we will reduce the site emissions by half before 2027 and consolidates the competitiveness of the site. Thank you for listening, and now we're happy to take your questions.
Operator: Thank you, sir. [Operator Instructions] The first question is from Wim Hoste from KBC Securities. Please go ahead.
Wim Hoste: Yes, good afternoon and thanks for taking my questions. I would like to ask two, please. First one is on the soda ash market and the consolidation announcements that we have seen in the past few days. Any thoughts about how that might change the structure of the markets and also in light of future capacity addition projects, etc.? And then secondly, I wanted to dive also into your take on the transactions. Yeah, were you blocked by antitrust for and was that the reason for not participating, for example, or did you participate? Any thoughts about your potential interest that you might have had in that deal would be interesting? And then the second question I would like to ask is on the e.Solvay projects. You said that you're advancing nicely. Can you talk a bit on potential timing of rolling this out and also kind of quantify the potential cost advantages? You highlighted the environmental advantages, but the cost advantages that this project might have, if you can just update us on that as well that would be interesting. Those were my questions. Thank you.
Philippe Kehren: Yes. Thank you very much for your questions. So regarding the announcement of WE Soda acquiring Genesis, I think, first of all, it does not add any new capacity in soda ash markets. I would say, globally speaking, it doesn't change the supply demand balance and the market perspective. It just, I think, highlights a little bit what we're trying to explain when we say we are between commodities and specialties. Essential chemicals, it's a market where you have a limited number of players that are developing the way to reach in the best possible way and in a competitive way and sustainable way the customers. So it doesn't change really what's happening. It clarifies probably a little bit the way the market operates. One interesting thing in the public communication that was issued by WE Soda is that they say very clearly and we are perfectly in line with that, that at the current level of margins on this market, it's easier to invest and build on an existing capacity than to build a Greenfield unit. And so does it mean anything for the big projects that were announced in particular in Wyoming? I don't know, obviously, and I will not give any answer on this. But I think it's interesting to see that we're expanding our capacity in Green River at a very competitive cost in terms of investment. WE Soda is buying an existing capacity at a certain level of cost per ton. If you want to build a new plant, it costs much, much, much more. That's I think what we need to take away. Then another important thing is that we continue to be a player that is both active in synthetic and natural. And I think that's very important. Why is it important? Because the world needs both, both synthetic and natural. And so you're talking about e.Solvay, e.Solvay is exactly about it. e.Solvay is about having different options and in particular, the possibility at some point also to build greenfield units in areas where today there is no production. And in particular, in areas such as Latin America, Southeast Asia, Middle East Africa, areas where soda ash is needed, growth is there, but there is no big capacity of production. So I think this is an option that we have and that others don't have. In terms of time line, we are just, as we said, finalizing the industrial pilots in our plant of Dombasle, and we will move into now the economical assessment because we need first to optimize the cost of investment and second, also to make sure that we can have access to long-term competitive low carbon electricity, which is absolutely needed in order to do e.Solvay. Now you mentioned did we look at those type of projects and so on? Do we have antitrust consideration and so on? Well, clearly, I mean, let's be clear today. We're really focused on organic growth. Of course, we're looking at what's happening on the market, but we want to take the best possible -- the best possible use of our assets. Thank you.
Wim Hoste: Okay, that's clear. Thank you very much.
Operator: Thank you. We will now move to our next question from Martin Roediger from Kepler Cheuvreux. Please go ahead.
Martin Roediger: Yes, hello. Good afternoon. First question is for Philippe. You shifted with your strategy towards more growth CapEx to create additional value. What is the likely payback time when comparing the growth CapEx to EBITDA? Is it three years or four years or five years? And the second question is more for Alexandre. It's related to the charts 21 and 22 of your presentation. You show in these two charts that €231 million volumes and mix effects in revenues contribute €103 million to EBITDA. Thus 45% of the top line effect falls to the bottom line. Why is it that high? Does that volume mix column on page 22 also include license income in peroxides? Thank you.
Philippe Kehren: Thank you very much. So I mean, there are two types of growth CapEx. I mean, if you refer to additional capacities, right, because half of the growth in EBITDA will be done through also improvement of the competitiveness. But if we look at the growth CapEx, you have the big investments like the ones that are -- we're doing typically for soda ash and that we will start up this year. Those are done every typically four, five years when the market needs it. We don't need to anticipate that. We do it when the market is there. And the payback is relatively fast, but it's true that the tickets are a bit higher. What we're targeting in the short to mid-term is more targeted lower CapEx in some specific markets typically, and I will cite two of them. We have bicar. Bicar is a market that is growing at least twice as fast as GDP, probably even higher as we speak. And those investments are paid back in a few years very, very, very quickly. Second type of investments, electronic grade or purified grade, let's say, hydrogen peroxide, we're just starting new capacities in Southeast Asia and Taiwan and so on. Those capacities are immediately used 100%. We're talking about double digit growth and paybacks that are very short. So in the short-to mid-term, we will really focus on this type of investments. Maybe, Alex, I don't know if you want to complement before moving ahead.
Alexandre Blum: No, I can complement. I don't think we are changing our strategy. It's after one year of operation that we think it's worth clarifying again, I mean, Essential Chemical, we are not investing ahead of the curve. And let's make it very simple. Even for new investment in errors, we will wait to have customer commitment before making any significant investments. So that's very important to mention. Payback, right, it's not the main indicator for big investment. I mean, payback is usually a good indicator for small investment at site level. When we look things which are a little bit more strategic, we tend to look at the internal rate of return, the impact on ROCE. Our internal order rate is around 15% because we know that we have enough investment opportunity not to have to look below that level. So this is normally the internal rate of return that we need to be required. Yes, sorry, there was a question on the fact that you had a very high conversion between sales to EBITDA because we have in Q4 peroxide license, which is almost straight from sales to EBITDA and which is recorded in the volume. As I said, when we look full year with Q3 in Q4, it will be in a normal.
Operator: We will now move to our next question from Thomas Wrigglesworth from Morgan Stanley. Please go ahead.
Thomas Wrigglesworth: Thanks very much for the opportunity. A couple of questions, if I may. Firstly, can you unpack your guidance? Obviously, you've got a large at the EBITDA level, you've got a large number of businesses. I'm very keen to hear specifically within that the kind of how you see this bicarb opportunity evolving in 2025 versus the assumptions that you've made for the soda ash business. The second question I have is actually just a kind of a smaller one on the free cash flow bridge. There's this positive other €60 million in the bridge there. I know that we can see that in the quarters as well. But could you just remind us what that positive driver that's offsetting the taxes bucket is? Thank you.
Philippe Kehren: Thank you very much. So I will probably let Alex answer on the free cash flow and start with the guidance. Well, the guidance is really based, I would say, on the elements that we have today, which means no significant change on our markets and relatively stable net pricing in 2025 versus 2024. Why do we give -- I mean, what could be the difference between the low end and the high end? Well, I would say clearly in volumes. We don't see today some of the things we've seen last year, for example, the restocking that we had in Q1 2024 that we don't have in Q1 2025. We've seen also a little bit of prebuying in Q4 2024 that will potentially also slow down a little bit the restart in 2025. We don't know if we will have a volume recovery, but if we have, then we could go a little bit higher at the higher end of the range. And then we also have a certain number of a lot of volatile elements that are impacting potentially all of the businesses. Energy prices are still very volatile. And even though we have a high a good level of protection on this, we still have some potential volatility there. We also have the implementation of tariffs that is changing a little bit from time to time, to say the least. So this creates also a little bit of uncertainty. So this if you take all this into account, this explains a little bit the range of the guidance and where we could move. Now Alex, maybe on the free cash flow.
Alexandre Blum: Sure. Hi, Tom. So the positive cash is in fact the main reason why 2025 provision cash out will be higher in 2025. In 2024, we made provision for Dombasle Energy project overrun. That you may remember, we communicated on especially in Q2 2024 with our Q2 result. This was not -- this has no cash or very limited cash impact in 2024. So in the bridge, if you want to offset the negative EBITD impact by this element and in 2025, we will see the other way around, no more EBITD impact, but an impact on the free cash flow as the project is targeted to be operational at the beginning of 2026. So most of this will take place in 2025.
Thomas Wrigglesworth: If I can just follow-up on the energy prices. Can you just elaborate a little further on that? So if we see if we do if we were to see a rapid change in, say, gas prices higher or lower, how much time would it take you to fully pass through that price to customers? Is it kind of is it on average going to take three months given the net effect of your contracting? Or will it be shorter than that, more like a month or longer?
Philippe Kehren: It very much depends on the businesses. I mean, the maximum is clearly three months, but normally, we can we are much more reactive than that. So that's why we're saying it can have a little bit of side effects, but not big we adjust fast, and the impact will be limited, but still, it can add to the volatility of the risks.
Alexandre Blum: First, when you have such swing, the mechanism are never perfect. I mean, the more you have volatility, the more you create some small effect. And certain volume export, especially if you take export of soda ash to the seaborne market, we have less protection. It's usually there is a strong correlation, but you don't have the mechanism protection. So that's why we are saying it's not necessarily structural, but on the corporate impact.
Thomas Wrigglesworth: Thank you very much.
Operator: And our next question is from Sebastian Bray from Berenberg. Please go ahead.
Sebastian Bray: Hello, hello. Good afternoon. Thank you for taking my questions. I would have two, please. The first is on the CapEx guidance and in particular as it relates to environmental CapEx. Has anything actually changed here versus the time of the split? It looks to me a bit as if the environmental CapEx near term excluding Dombasle has been cut a bit and the burden shifted to the post-2030 period. Is that right? Is Solvay basically making a bet that the environmental legislation only really tightens properly from after 2030? And my second question is, can you give us a status of how long or how much you have in terms of free carbon allowances? Are you saving these up for 2030 knowing that you need to spend more a bit later? And final one, free cash flow, does this include the provision for the €50 million for Dombasle, the €300 million guidance? Thank you.
Philippe Kehren: So in terms of CapEx for energy transition in particular, it did not change. I mean, we always said that we would spend -- we are spending today around €30 million per year. Now we say between €30 million and €35 million. I mean clearly, there is a little bit of inflation, but it's not really material. And we will increase by €50 million after 2030 because of the nature -- sorry from €30 million to €50 million, because of the nature of the project, right? So I don't think we changed anything on the amount of CapEx that we announced for until 2030. And then, Alex, you wanted to.
Alexandre Blum: Yes, maybe yes, completely confident. I think we never expressed clearly the amount of CapEx we're expecting for the next decade. I mean, we are expecting so we felt, again, we have one year behind us. We have much more visibility on the project, but we're getting closer. So I think now we think it's good to provide you that visibility, but fundamentally, I mean, you can see the trajectory 1/3rd, will decarbonize this. And this affordability is.
Sebastian Bray: That's helpful.
Philippe Kehren: Yes, the next question was on free carbon allowances.
Alexandre Blum: Maybe can you specify a little bit your question on the free carbon allowance? Yes, but to add on the hedging or the free allowance? Sorry, but if you don't mind repeating the question before.
Sebastian Bray: Pardon me, it's on the free allowances.
Philippe Kehren: So today, there is no as far as we know, there is no change until 2030 in the EPS directive. I know that there will be some changes, but I think they will be positive because the commission would like to support energy transition projects probably a little bit better by generating more revenues. So there is no today changes. The only thing we can say is that we see additional support from Europe and the member states. That's what they call the clean industrial deal. And by the way, we just announced yesterday that we're doing a very important energy transition project in Spain, where we have received very clearly a high level of support, and we will be able to reduce drastically and cut by half the Tier two emissions of Torrelavega and do it in a very competitive way. So I think we're moving in the right direction. Beyond that there's nothing really changed, I think. On the free cash flow.
Alexandre Blum: Yes. I confirm the guidance includes Dombasle -- Dombasle Energy cash out as well as the other elements we've mentioned in the past, the TSA exit and [Indiscernible]
Alexandre Blum: Does that make sense?
Sebastian Bray: Thank you. Yes.
Operator: We'll now move to our next question from Chetan Udeshi from JPMorgan. Please go ahead.
Chetan Udeshi: Yes. Hi. Thanks for taking my questions. I was just curious, I don't know if this was already discussed, but can you give me – or give us rather, some sense of how you're thinking about Q1, whether it's year-on-year, Q-on-Q, any key points to keep in mind? Or even if you can give like a proper guidance, it's almost March. So I guess you have a good visibility now on Q1 where it should sort of stack out. The other question I had was just going back to the whole discussions around CapEx and taking out this cash conversion target from 2028. I mean, I think there is a bit of confusion to the extent that on one hand, Philippe, you are talking about investing in projects which are not capital intensive. And if I look at your CapEx already for 2025, it's €350 million which sort of implies that you've already spent roughly €100 million on growth on top of essentials. So if all the new stuff that you are -- or future stuff that you are planning to do is also more debottlenecking, less capital intensive, why take out that cash conversion target at all? Just feels like it's like not consistent between what you are saying while at the same time taking out the cash conversion target.
Philippe Kehren: Okay. Maybe I'll start with your second question so that Alex can think about what he will tell you about Q1. No, I'm just kidding. So we say our central CapEx margin is between €250 million and €300 million. So when we say -- and last year, by the way, we invested €355 million. This year, we will land between €300 million and €350 million. So you're right. I mean, it means we'll spend for our growth, what we call a discretionary CapEx, between €50 million and €100 million, let's say. That's a few projects that are not really capital intensive. We're talking about electronic grade H2O2. We're talking about circular silica in Italy. We're talking about a few millions to launch the production of our oxide for permanent magnets in France. So we're talking about small targeted investments that can deliver high growth, but it's really not big ticket. So this is why we say it's more at least in the short-to mid-term, we're talking about more small targeted investments. Then what we're saying is just that our capital cash allocation policy, which clearly states it's essential capital, it's dividend payment, and then we see how to make the best possible use of the additional cash that we might generate if the market conditions are there, supersedes the free cash flow conversion. That's the only thing we say. If you look at our free cash flow conversion this year, it's 34%. So we're not saying that we will not do 35%. It's just that this should not drive the choices that we will make. If we have more cash, we will decide -- we don't think we should at this point, but maybe we can talk about it, but that we should deleverage our balance sheet. So should we invest in secured investments? Should we invest in other types of shareholder return? We will see. But this is what will drive our decisions. Alex, I think you are expected on Q1.
Alexandre Blum: Hello, Chetan. So I mean, Q1, I mean, we have been telling you every quarter that [Indiscernible]. Yes, the beginning of the year is even more challenging. So what I can say, it's generally in term of business segments, we continue to see what we see in H2O2. So the most dynamic segments are food, seed, especially in bicarbonate, electronic, all of that is growing well. Overall, obviously, the U.S. as a region. And on the other side of the equation, subscription, no sign of recovery and auto delivery at that time. As far as Q1 is concerned, as we mentioned, Q4 was quite good. I mean, it was part of the reason for the beat. I mean, so it's not completely clear with all the noise today. We're very interested in pre buy. We don't think there is a fundamental recovery in demand. So what we expect, we mentioned it not significant change in volumes between 2024 and 2025, but probably the profile will be different. Last year, we had quite a strong Q1, some recovery and then normalization, lot of opportunities, market a little bit tight. We don't see that this year. And but I must say the noise created by the tariffs is not helping. Also keeping in mind Q4 this year, we have a one-time license. So when you just object Q1, you have to take that into account. So very little visibility, low drop, but a lot of nervousness in the market.
Chetan Udeshi: Thank you. Maybe Philippe, if I can come back. So if I understand your comments correctly, you're saying at least for the next maybe one, two years, you continue with the path of existing bolt on projects. And then down the line, you just want to keep that flexibility in case something exciting, interesting comes out for you to invest into, something bigger. Is that how we should think about your comments on CapEx?
Philippe Kehren: Yes, that's it. Absolutely, that's it.
Alexandre Blum: But it's not exciting. It's value creating.
Philippe Kehren: Yes, value creating. And also, I mean, we will not take a bet. We will do it if it's secured.
Chetan Udeshi: Yes. Got it. Thank you.
Philippe Kehren: Thank you very much.
Operator: And we will now take our next question from Alex Stewart from Barclays. Please go ahead.
Alex Stewart: Hello. Thank you for taking my questions. It sort of builds on Chetan’s question a little bit. You said a number of times over the last 15 months that there's no scope to cut prices in soda ash, the soda ash is at the bottom, margins are at the bottom of the cycle. This is something that's come up time and again. And yet I look at your return on invested capital and it's almost 18%, including the headwind from your corporate function. So your underlying return on capital of your businesses is approaching 20%. So I suppose the question is really in two parts. Firstly, how can you say that we're at the bottom of the cycle and there's no room for more investment when you're making a sector leading return on capital, which would traditionally attract more capital into the market? And the second point around CapEx is that if you're making a return on capital that's 500 basis points above your internal rate of return thresholds for new projects, surely that suggests that you should be investing much more growth CapEx in order to profit from that arbitrage. Could you possibly rationalize your thinking with those two statements? Thanks so much.
Alexandre Blum: Let me take this one and let's see who can answer. On the first one, return on capital employed, I think yes, I mean, we confirm soda ash that the low end of the cycle. We are not in the mid cycle position, but it's profitable business. I mean, this is what we've always said, it's a resilient business with existing assets. You can make some margin, but the margins are low to three-year additional investment, new capacities, because if new capacities will be more expensive, the marginal price will be quite low. And I would say on the CapEx cost, I don't think in 2024, the CapEx cost, they don't have a very significant impact. It would be more we mentioned TSA exit the synergies and so on, probably a little bit more in 2025 and 2026. No, I mean, the fact that we have a rate at 15% means that we would not invest in the old investment that are above 15%. We said we look at merit and affordability. That is very important. So yes, we have some several investments at more than 15%. And then there is what we can afford. This is why we said that we don't want a fixed free cash flow conversion. We don't think the fixed free cash flow conversion KPI is required. Still, I mean, you've seen it this year. We want to make sure we generate more free cash flow than our dividend. So we look at the two angles and we need to invest in the right time. I mean, we don't want to invest too early. So typically, this is what we do in several business lines, we invest.
Alex Stewart: Perhaps if I could follow that up, if it's okay. Just a quick one. Do you think that you will cover your dividend this year?
Philippe Kehren: Can you repeat please? Can you repeat, Alex?
Alex Stewart: Sorry. Do you think that you will cover your dividend with cash flow generated by the business in 2020?
Alexandre Blum: Yes, always.
Alex Stewart: You're guiding to €300 million of free cash flow and then there were always cash outflows which aren't included in that in your dividends €260 million. So you've only got €40 million to play with.
Alexandre Blum: Yes. I mean, we are a new company. We have a certain level of dividend. So this is what we're seeing. Even in a challenging environment, we are cash flow covering the dividend.
Alex Stewart: Thank you very much. Very helpful.
Philippe Kehren: Thank you.
Operator: And we will now take our last question from Peter Clark from Bernstein. Please go ahead.
Peter Clark: Yes, good afternoon, everyone. Yes, I've got two actually. I think I'm getting the gist of what you're saying in terms of its example, silica expansions. Absolutely not going back to 10 years ago when you were investing ahead of the market. Two plants came on Korea, I think, in Poland and the market disrupted. Here, we're talking about incremental investment on existing kit with the market demand already there. So that's the first question. And then secondly, the peroxides had a really good fourth quarter in terms of growth across the patch pretty much. Just wondering what's going on in the HPPO market, whether there was a kick in Antwerp in terms of volumes or something like that? Thank you.
Philippe Kehren: Thank you. So I mean, indeed, we're when we talk about the investments in silica, in particular, the move towards bio-sourced material, we're not talking about really new big capacities. We're talking about a new market, certain type of bio-sourced silica. And we secure the investment. I mean, we don't invest if we don't have the volumes secured with strategic customers. So we're not investing, I would say, ahead of the market. We're investing when the market is there. Now HPPO, frankly speaking, today, we have three plants that are running, I would say, at normal utilization rate. And we're pretty much focused today on our licensing business in China because this is where the growth is taking place.
Peter Clark: Thank you. Reassuring.
Philippe Kehren: You're welcome. Thank you very much for your questions.
Operator: Thank you. With this, I'd like to hand the call back over to Geoffroy for closing remarks. Thank you.
Geoffroy d'Oultremont: Thank you for your participation today. And if you have any questions, please feel free to reach out to the Investor Relations team. We've added our virtual program on the website. If you go in the financial calendar section, you will see the different virtual and conferences attended by the management in the coming days and weeks. So feel free to react to that if you want to join one of these events. Thank you very much. We will publish our Q1 on May 8. Thank you.
Operator: [Operator Closing Remarks]